Operator: Good morning, ladies and gentlemen, and welcome to the Teleflex Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that this conference call is being recorded and will be available on the company's website for replay shortly. And now I will turn the call over to Mr. Lawrence Keusch, Vice President of Investor Relations and Strategy Development.
Lawrence Soren Keusch: Good morning, everyone, and welcome to the Teleflex Inc. Second Quarter 2025 Earnings Conference Call. The press release and slides to accompany this call are available on our website at teleflex.com. As a reminder, a replay will be available on our website. Those wishing to access the replay can refer to our press release from this morning for details. Participating on today's call are Liam Kelly, Chairman, President and Chief Executive Officer; and John Deren, Executive Vice President and Chief Financial Officer. Liam and John will provide prepared remarks and then we will open the call to Q&A. Before we begin, I'd like to remind you that some of the matters discussed in the conference call will contain forward-looking statements regarding future events as outlined in the slides posted to the Investor Relations section of the Teleflex website. We wish to caution you that such statements are, in fact, forward-looking in nature and are subject to risks and uncertainties and actual events or results may differ materially. The factors that could cause actual results or events to differ materially include, but are not limited to, factors referenced in our press release today as well as our filings with the SEC, including our Form 10-K, which can be accessed on our website. Now I will turn the call over to Liam for his remarks.
Liam J. Kelly: Thank you, Larry, and good morning, everyone. On this morning's call, we will discuss the second quarter results, provide a strategic update, review commercial highlights and conclude with our updated financial guidance for 2025. Of note, year-over-year constant currency revenue growth is adjusted for the impact of the Italian measure, which was recorded in the second quarter of 2024. Our second quarter results demonstrate our continued progress as we work to drive operational excellence and enhance value creation across our business. Second quarter revenues were $780.9 million, an increase of 4.2% year-over-year on a GAAP basis and up 1% on an adjusted constant currency basis. This result exceeded the high end of our previous $769 million to $777 million guidance. Second quarter adjusted earnings per share were $3.73, a 9.1% increase year-over-year. Now let's turn to a deeper dive into our second quarter revenue results. I will begin with a review of our geographic segment revenues for the second quarter. All growth rates that I refer to are on an adjusted constant currency basis, unless otherwise noted. Americas revenues were $525.7 million, a 2% increase year-over-year and in line with expectations. Revenue growth in the quarter was driven by strength in intra-aortic balloon pumps and was partially offset by OEM declines and continued challenges in UroLift. EMEA revenues of $166.2 million decreased 2.1% year-over-year and were a bit softer than expected. During the quarter, we saw strength in our Interventional business, which was offset by our Anesthesia business, including a tough year-over-year comp in military orders. Turning to Asia. Revenues were $89 million, a 1.2% increase year-over-year and in line with our expectations. Revenue growth was driven by strength in Southeast Asia, India and Japan, which were partially offset by the previously announced volume-based procurement dynamics affecting our China business. As expected, we saw sequential revenue improvement in China during the second quarter and expect continued improvement through the remainder of 2025. Now let's move to the discussion of our second quarter revenues by global products category. Commentary on global product category growth for the second quarter will also be on a year-over-year adjusted constant currency basis. Starting with Vascular Access. Revenue increased 1.4% year-over-year to $185.5 million. The quarter was led by year-over-year growth in PICCs, which increased at a double-digit rate at a solid performance in EZ-IO. Looking forward, we expect acceleration in growth in the second half of the year. Moving to Interventional. Revenue was $170 million, an increase of 19.3% year-over-year. The strong performance for the quarter was led by growth drivers such as intra-aortic balloon pumps and catheters, OnControl, complex catheters and right heart catheters. Turning to Anesthesia. Revenues decreased 7.6% year-over-year to $96.4 million. Among our largest product categories, hemostatic products and LMA single-use masks delivered growth in the quarter but were primarily offset by a tough comp in military orders and pressure on airway products. In our Surgical business, revenue was $114 million, an increase of 1.4% year-over-year. Underlying trends in our core surgical franchise continued to be solid, partially offset by the expected impact of volume-based procurement in China. Our North America surgical business, which is not impacted by volume-based procurement, grew mid-single digits in the quarter. For Interventional Urology, revenue was $76.4 million, representing a decrease of 8.3% year-over-year. While we saw strong double- digit growth for Barrigel, we continue to experience pressure on UroLift. In line with our expectations, OEM revenue decreased 12.4% year-over-year to $78.7 million. The second quarter was impacted by the previously disclosed lost customer contract and continued customer inventory management. As expected, we saw sequential revenue improvement during the second quarter and continue to anticipate increased revenue contribution in the second half of 2025 versus the first half of the year. Second quarter other revenues increased 3.5% to $59.9 million year-over-year. The performance was driven by Urology Care, in particular, intermittent catheters. That completes my comments on the second quarter revenue performance. Moving to a strategic update. We are actively taking steps to unlock value within our business. As part of this, we continue to progress the separation of Teleflex that we announced in February. Once separated, each business will be best positioned for the future with more focused strategic direction, simplified operating models, streamlined manufacturing footprint and individually tailored capital allocation strategies aligned with their respective growth philosophy and objectives. At the same time, we are also pursuing in parallel a potential sale of NewCo. As we discussed on our first quarter earnings call, we have received a significant number of inbound expressions of interest in acquiring NewCo. Since then, and in line with our commitment to maximize value for our shareholders, our Board and management have been actively evaluating a potential sale of NewCo. By way of a progress update, we have had preliminary meetings with many potential buyers. We continue to be impressed by the quantity and quality of interested party. We will provide updates to the investment community on our progress as we move along the parallel paths as appropriate. Importantly, our guiding principles continue to focus on maximizing shareholder value through this process. Should a sale be consummated, we currently intend to utilize proceeds to balance paydown of debt and return capital to shareholders. We will continue to act in the best interests of our company and shareholders as we move through this process. Turning to our capital allocation strategy. On June 30, which marked the start of our third quarter, we were pleased to complete the acquisition of substantially all of the Vascular Intervention business of BIOTRONIK for a net initial upfront cash payment of EUR 704 million. The Teleflex Interventional portfolio has long been a cornerstone of growth and innovation within our company. With the opportunity to drive sustainable revenue growth and improve margins, the Vascular Intervention acquisition is a key part of our value creation strategy that will enable us to further build upon this strong foundation. We expect our combined Interventional business to generate $800 million plus in annual revenues. The acquired product portfolio includes a broad suite of vascular intervention devices such as drug-coated balloons, drug-eluting stents, covered stents, balloon and self-expanding bare metal stents and balloon catheters. We believe this acquisition will enhance our global presence in the cath lab, expand our suite of innovative technologies and improve patient care. The acquisition of the Vascular Intervention business will also provide Teleflex with the opportunity to invest in and expand the clinical trial program for Freesolve, a sirolimus eluting resorbable metallic scaffold technology. Freesolve's combination of temporary scaffolding with drug delivery is anticipated to address the current trend in interventional cardiology and endovascular procedures towards leaving behind less permanent hardware. We also see Freesolve's potential to address the limitations of previous polymeric resorbable scaffolds, achieving more rapid absorption, thinner struts and metallic mechanical performance. Freesolve received a CE Mark in February of 2024 and is indicated for treatment of de novo coronary artery lesions. The European pivotal BioMag 2 study is currently ahead of schedule with more than 800 patients enrolled out of the 2,000 patients total. We plan to initiate the BioMag 3 U.S. pivotal study in the coming months. The U.S. study design is complete and in partnership with the Scientific Steering Committee, we are initiating recruitment of leading interventional cardiology programs and investigators from across the United States. As noted on our July 1 press release announcing the closing of the acquisition, we expect the acquired products to generate revenues of EUR 177 million or $204 million in the second half of 2025. Specifically, we expect acquisition revenue of EUR 86 million and EUR 91 million in the third and fourth quarter, respectively. Beginning in 2026, we expect sales of the acquired products to deliver annual constant currency revenue growth of 6% or better. Also noted in our July 1 announcement, excluding nonrecurring purchase accounting items and other acquisition and integration- related costs, we expect the transaction to be approximately $0.10 accretive to our adjusted earnings per share in the first year of ownership and to be increasingly accretive thereafter. Turning to some commercial and clinical updates. Starting with our Vascular business. We recently announced findings from a new multinational study reporting efficacy of Arrow chlorhexidine-impregnated CVCs among ICU patients. The study analysis demonstrated a statistically significant reduction in CLABSIs of 70.5% in patients receiving the impregnated antimicrobial catheters. Even though this cohort of patients had longer average length of ICU stay and device utilization ratios, indicating frequent and extended use, infections still remained significantly lower. This underscores the potential benefit of the antimicrobial technology even in high-risk patients. Additionally, the use of chlorhexidine-impregnated CVCs was associated with a lower incidence of infection causing pathogens, including gram-negative and gram-positive bacteria and fungi. Moving to our Surgical business. We continue to expand our foundation of clinical data that supports the use of the Titan SGS stapler as safe and effective for patients undergoing laparoscopic sleeve gastrectomy. In May, we announced the publication of a retrospective study comprising of 257 patients from 2016 and 2023, who underwent sleeve gastrectomy. The study showed that 1 year post- procedure compared to traditional surgical staplers, fewer patients in the Titan SGS stapler cohort reported having GERD and fewer patients in the Titan SGS stapler cohort developed de novo GERD, both of which were statistically significant. Additionally, more patients in the TITAN SGS stapler cohort who had GERD prior to the procedure, saw resolution of this condition compared to patients in the traditional surgical stapler cohort. Notably, the improvements in GERD outcomes linked to the Titan SGS Stapler were achieved without a significant difference in weight loss at 1 year between the 2 cohorts. This study also showed that the Titan SGS stapler enabled a shorter average hospital length of stay compared with traditional surgical staplers. As the only stapler to provide a 23-centimeter staple line, the industry's longest continuous staple cut line, the Titan SGS stapler is designed to provide an ideal tubular surgical sleeve anatomy. That is a consistent shape, free of kinks, twists, or spirals, improving the potential to resolve GERD and nausea. We will continue to focus on supporting the Titan SGS stapler with expanded clinical data. On the reimbursement front, the centers for Medicare and Medicaid Services released its 2026 proposed rule for reimbursement of UroLift and Barrigel in the physician's office and ASC hospital outpatient care settings. Overall, the proposed rules for 2026, if enacted largely as outlined, would be a positive for the reimbursement environment. That completes my prepared remarks. Now I would like to turn the call over to John for a more detailed review of our second quarter financial results. John?
John R. Deren: Thanks, Liam, and good morning. Given the previous discussion of the company's revenue performance, I'll begin with margins. For the quarter, adjusted gross margin was 59.7%, a 110 basis point decrease year-over-year, which was in line with our expectations, was primarily due to continued cost inflation from macroeconomic factors, specifically with respect to labor and raw materials, an increase in logistics and distribution costs and unfavorable product mix, partially offset by fluctuations in foreign currency exchange rates. Adjusted operating margin was 26.9% in the second quarter. The 20 basis point year-over-year increase was better than expected as we offset year-over-year gross margin pressure with prudent operating expense control and a positive benefit from foreign exchange rates. Adjusted net interest expense totaled $19.9 million in the second quarter, a slight increase from the $19.4 million in the prior period. The year-over-year increase is primarily due to a higher average debt outstanding, partially offset by lower interest rates on floating rate debt. Our adjusted tax rate for the second quarter of 2025 was 13.1% compared to 12.3% in the prior year period. The year-over-year increase is primarily due to additional costs arising from the enactment of Pillar 2 tax reform. At the bottom line, second quarter adjusted earnings per share was $3.73. The 9.1% increase year-over-year is primarily due to higher adjusted operating income, a lower share count and a positive benefit of foreign exchange. Turning now to selected balance sheet and cash flow highlights. Cash flow from operations for the 6 months was $81.2 million compared to $204.5 million in the comparable prior period. The $123.3 million decrease was primarily attributable to unfavorable changes in working capital, including payments for recently enacted tariffs, the year-over-year change also includes payments related to the proposed separation, payments related to due diligence and transition planning costs associated with the Vascular Intervention acquisition as well as outflows related to cloud computing arrangement expenditures as part of our ongoing development of our new ERP solution. Moving to the balance sheet. At the end of the second quarter, our cash, cash equivalents and restricted cash equivalents balance was $283.9 million compared to $327.7 million as of year-end 2024. Net leverage at quarter end was approximately 1.8x and 2.6x pro forma for the Vascular Intervention acquisition. Turning to our updated financial guidance for 2025. After giving effect to the June 30 closing of the acquisition of the Vascular Intervention business, we now expect total constant currency growth for 2025 to be in the range of 7.7% to 8.7% versus our prior guidance of 1% to 2%. The constant currency revenue for 2025 growth reflects assumptions that are unchanged from our previous outlook, plus an estimated $204 million in revenue contribution associated with the Vascular Intervention acquisition in the second half of the year. We now expect a positive impact from foreign exchange of $26 million, representing an approximately 85 basis point tailwind to GAAP revenue growth in 2025. This compares to our prior guidance of approximately $5 million or 17 basis point headwind for 2025. The updated foreign exchange guidance assumes approximately a $1.15 average euro exchange rate for the second half of 2025. For 2025, we now expect GAAP revenue growth to be in the range of 9% to 10% versus our prior guidance of 1.3% to 2.3%, implying a dollar range of $3.322 billion to $3.352 billion. The outlook for 2025 includes the previous assumptions plus updated foreign exchange rates and the contribution from the Vascular Intervention acquisition. The year-over-year growth rate reflects the $13.8 million impact from the Italian measure in the second quarter of 2024. On the topic of tariffs, the situation remains highly dynamic and may change further over the coming months. There remains significant uncertainty on the positioning, timing and magnitude of the administration's tariff policy as well as the impact of any retaliatory action from other countries. Consistent with the methodology discussed at the time of our first quarter earnings call, our outlook is based on tariffs currently enacted, including country-specific reciprocal tariff rates as well as the status of certain tariff exemptions primarily in Mexico related to the current USMCA rules and regulations. The outlook does not contemplate future tariffs that are not yet enacted. Any future changes could change the anticipated impact on our adjusted EPS in 2025. We now estimate the impact from tariffs of approximately $29 million in 2025 or $0.55 a share versus a previous outlook of $55 million or $1.05 a share. The reduction in expected tariff impact for 2025 is driven by changes in tariff rates, primarily associated with China as well as the early benefit of expanding mitigation efforts with the additional opportunities to come as we progress through the second half of 2025. We continue to actively explore strategies to mitigate our exposure to tariffs in 2025, including optimizing our supply chain, increasing our mix of USMCA compliant products which provides tariff waivers for products assembled in Mexico and Canada using U.S. components and continued and diligent control of our spending. Since our last earnings report, we have made progress increasing our percentage of USMCA compliant products entering the U.S. from our manufacturing facility in Mexico. We will also begin to implement increased customer pricing as contracts come up for renewal. Additionally, for modeling purposes, you should consider the following: We are increasing 2025 adjusted gross margin guidance to be in the range of 58.75% to 59.5%, which represents an increase of 50 basis points at the low and high end of the range. The increase in our 2025 gross margin guidance expectation is primarily driven by lower-than-expected tariffs partially offset by an adverse impact from foreign exchange. We expect adjusted operating margin to be in the range of 24.5% to 25%, which reflects a 10 basis point reduction at the low end of the range versus our prior guidance. Our updated guidance reflects the benefit of lower-than-expected tariff, offset by incremental expenses associated with the acquisition of the Vascular Intervention business and an adverse impact from foreign exchange. Moving to items below the line. Net interest expense is now expected to be approximately $95 million for 2025 as compared to $75 million previously. The incremental net interest expense is primarily due to the financing associated with the acquisition of the Vascular Intervention business. We have refined our tax assumption for 2025 and now expect our tax rate to be 13.25% versus our previous expectation of 13.5%. Turning to adjusted earnings per share. We are raising the low and high end of our 2025 guidance by $0.70, of which $0.50 is associated with a lower-than-expected tariff impact. Although the acquisition of the Vascular Intervention business is expected to be slightly dilutive in 2025, we expect to offset any negative impact of adjusted EPS through operational performance. As such, we now expect 2025 adjusted earnings per share to be in the range of $13.90 to $14.30. For the third quarter, adjusted constant currency growth is expected to be in the range of 15% to 16.5%, excluding a foreign exchange benefit of approximately $8 million. As a reminder, the third quarter revenue outlook includes $99 million in revenue associated with the Vascular Intervention acquisition. That concludes my prepared remarks, and I would now like to turn the call back over to Liam for closing commentary.
Liam J. Kelly: Thanks, John. In closing, I will highlight our three key takeaways from the second quarter of 2025. First, we continue to make significant progress in executing our strategy, delivering second quarter revenues above the high end of our range of guidance. In addition, we are pleased with our adjusted operating margin and adjusted earnings per share. Second, we successfully completed the acquisition of the Vascular Intervention business and have begun our integration activities. It is our intention to host a virtual investor event in the fall dedicated to the Vascular Intervention business with a focus on the strategic rationale, the comprehensive coronary and peripheral product portfolio and clinical trial pathway for the Freesolve bioresorbable scaffold. Last, we remain laser-focused on controlling what we can across our business as we continue to advance our strategic objectives. Our focus is on enhancing operational execution, returning the business to growth and strengthening our diverse product portfolio to better deliver for our customers. We continue to progress the separation of Teleflex supported by our guiding principles, which are focused on maximizing shareholder value through this process. That concludes my prepared remarks. Now I would like to turn the call back to the operator for Q&A.
Operator: [Operator Instructions] And our first question will come from Matt Taylor of Jefferies.
Matthew Charles Taylor: So I really had two. I wanted to see if you could provide more context on the bridge of the guidance between tariffs, FX and business outperformance? And then congrats on closing BIOTRONIK. I was just hoping you could help us understand just in rough terms, the outlook for that business and its growth organically?
Liam J. Kelly: Okay. I'll cover -- thank you, Matt. I'll cover the BIOTRONIK Vascular Interventions business, and I'll ask John to cover the beat and splitting it into operational and tariffs. So first of all, on the BIOTRONIK business, the expectation for the organic growth of the BIOTRONIK business in the second half of the year is mid-single digits during that time. That is the full growth on that $204 million in the back half of the year or the EUR 177 million, Matt. Nothing has changed to our outlook for the business starting in 2026. We still expect the BIOTRONIK Vascular Interventions business to grow 6% or better. And John, do you just want to cover the mix of the EPS business?
John R. Deren: You see we had a pretty nice operational performance in Q2. We'll carry some of that into the back half of the year, roughly $0.20, and that covers also any dilution we'd see on BIOTRONIK. Tariffs, roughly 50% -- I'm sorry, $0.50 for the year. And then foreign exchange is negative tax and shares positive, they largely offset each other.
Liam J. Kelly: I'll just add, Matt, that of the $0.50, a good chunk of it, $0.45, $0.47 is coming from the China. And we've also made some improvements on USMCA. So we've also done some operational work behind the scenes to improve our tariff position as a company.
Operator: Our next question comes from Jayson Bedford of Raymond James.
Jayson Tyler Bedford: Thanks for all the details here. You threw out a lot of numbers, so I don't want to be greedy with this question, but do you have a rough breakout between the growth of RemainCo and NewCo? I'm not sure if we have enough information to fully calculate that.
Liam J. Kelly: In the quarter, I do. I can give you a breakout of RemainCo, nothing has changed to our outlook for RemainCo and a growth perspective for the year. We still expect it to be in the upper 5s and it was in the mid-single-digit range, excluding the impact of volume-based procurement in the second quarter, Jayson.
Jayson Tyler Bedford: Okay. That's helpful. And just you touched on it, but interventional was quite strong. Can you maybe speak to the durability of this type of growth?
Liam J. Kelly: Yes. So Interventional did have a good strong quarter. Obviously, balloon pumps had some really strong double-digit growth and were in line with our expectations. The upside in Interventional actually was delivered by OnControl and complex catheters, and we continue to expect the Interventional business to grow high single, low double digits for the full year of 2025.
Operator: Our next question comes from the line of Anthony Petrone with Mizuho Americas.
Anthony Charles Petrone: Congrats on the progress here on bringing BIOTRONIK in and moving toward transaction with NewCo. Maybe on NewCo specifically, sale versus spin speaking to a number of strategics. Maybe, Liam, just a little bit on timing, obviously, considering all angles here, but anything on timing that you can provide on the decision-making process for NewCo, that would be helpful. And then maybe on the BIOTRONIK addition, quarterly cadence of that business, maybe walk us a little bit through the seasonality, I would expect maybe 3Q is a little bit more modest than 4Q. And your thoughts out of the gate on revenue synergies, specifically with that business with the existing Teleflex portfolio.
Liam J. Kelly: All right, Anthony, thank you for the questions. Let me start off with the sale versus spin and the timing. Nothing has changed in our outlook for the timing of the spin. If we proceed with a spin, that would be mid-2026. Difficult for me to give you specifics on the timing of a sale. But I will tell you, as we continue to evaluate all options and Anthony, our focus is really on maximizing shareholder value. And as I said in my prepared remarks, we've made significant progress. We couldn't get to the point we are today without -- to conduct numerous preliminary buyer meetings as part of the sales process without having made progress in getting some key deliverables. So one of those would be, for example, finalizing quality of earnings and future outlook, which is needed for both sale or spin. Getting a data room ready, identifying key internal leadership talent to lead the management presentations and obviously qualifying and quantifying the transition support as well as having numerous NDAs signed ahead of those preliminary meetings, which should speed up now the second phase of the process as we go into due diligence. I remain really encouraged and impressed by the quantity and quality of the interested parties that continues to be the case. We do plan to continue due diligence, Anthony, as we go through the third quarter and the event that we are successful with the sale, we will obviously update the investment community as we go. Your second question was really around BIOTRONIK and the cadence. You're absolutely correct, and it's reflected in our guidance, as you can see. In Q3, we have $99 million built in for BIOTRONIK. And in Q4, we have $105 million built in for BIOTRONIK to give you the total of $204 million. So there is the normal cadence that you would expect from any interventional business. With regard to the synergies, as I said a little bit earlier, BIOTRONIK is going to grow in that mid-single-digit range, and we still expect it to grow in that 6% or better beginning in 2026. A part of that is the bringing together of the two portfolios. There's two aspects of that, Anthony. One is access to the cath lab because the BIOTRONIK VI organization in North America is pretty -- is smaller than Teleflex is, gaining access to the cath lab is quite difficult for them. But now you combine the two entities, therefore, access is going to be a lot easier. So that really will help in bringing some of these portfolios together. And then there are some natural synergies with the portfolio. I'm just going to give you two examples. The biggest part of our portfolio in that cath lab is our complex catheters. So what do complex catheters do? Give you access to the cartridge coronary arteries. Why are you getting access? Because you want to put in a bare metal stent or a drug-eluting stent. And so bringing those two together will definitely help the combination. The second is in regard to perforations. When one has a perforation and accidents happen in any procedure, the first thing you need to do, the two combo products in this area that one Teleflex has and now with the combination of the BIOTRONIK VI business, we will be the dominant player in this area. So the ringer catheter would be used initially in order to continue doing the procedure. And then the PK for pyros will be used to close up to perforation. So we would be able to block out this niche of a market globally for Teleflex with the combination of these products. So they are just two quick examples, Anthony, on how this portfolio will work incredibly well together. And we're really looking forward to having an Investor Day to outline this to share our excitement from Wall Street as to why this is a great fit for Teleflex.
Operator: Our next question comes from Shagun Singh with RBC.
Shagun Singh Chadha: I guess a couple of clarification questions. So just on Q2 EPS beat, can you maybe help us identify how much was tariffs versus business outperformance phasing for EPS or margins in Q3 versus Q4? And then, Liam, on the underlying business, I just want to make sure that I understand. So I think you indicated that the adjusted constant currency revenue guidance on an underlying basis, excluding the acquisition, is unchanged. So I don't know if you can further elaborate on how you're thinking about each of your businesses? Are there areas of upside versus downside relative to expectations internally to highlight, that would be helpful.
Liam J. Kelly: Absolutely, Shagun. So I'll cover the last part of the question, and then I'll ask John to cover the first two components of it. With regard to our outlook, if we take a step back, first of all, we're really happy with Q2. I think we delivered well in Q2. We hit some really key metrics. We delivered on our expectations for revenue. We exceeded our margin and EPS, and I think we executed well and the team executed well in the quarter. To answer your question, and you're absolutely correct, Shagun, on our 2025 outlook, there is no change to our underlying revenue guidance in that regard. The only change is we've added the BIOTRONIK Vascular Interventions business of $204 million in the second half, $99 million in Q3 and $105 million updates in Q4. Our updated revenue guidance is 7.7% to 8.7%. And obviously, we've increased our gross margin guidance by 50 basis points, and we've increased our EPS by $0.70. Now I'll ask John just to again reiterate the breakup of that $0.70 and answer the other part of your question.
John R. Deren: Yes. So again, the $0.70, about $0.50 of it relates to tariffs, Shagun. And as Liam pointed out earlier, some of that is improvements we've made from a USMCA compliance standpoint and exemption standpoint. But obviously, the adjustments in China and elsewhere made a large difference. So again, there's no tariff impact in Q2 as the tariff impact started in the second half of the year. And then -- and I apologize, you're looking for the impacts from a gross margin perspective as well, is that what you wanted?
Shagun Singh Chadha: Just phasing on margins in the back half?
Liam J. Kelly: Q3 and Q4.
John R. Deren: Q3 and Q4. So the tariff impacts largely similar in Q3, Q4, I think we're down a little bit in Q3 versus Q4 from a beat perspective, we'll see a little bit of uplift in Q4, but I don't have the -- I don't have -- we don't want to provide a detailed breakout between Q3 and Q4 margin.
Operator: Our next question comes from Richard Newitter with Truist.
Richard Samuel Newitter: Just wanted to go to the Urology segment for a minute and back to the CMS proposal. I'm just curious if you can talk a little bit about how you see that potentially impacting the business, if at all? And if there's any kind of standard of care positive impact, I know there's been a migration out of the office for UroLift. Is that something that you think will change practice at the margin and help that business recover a little bit?
Liam J. Kelly: Rich, thanks for the question. Look, the updated CMS proposed rule, I just want to point, it is a proposed rule. If it comes into effect, as it has been outlined, will definitely be positive. I'll start with Barrigel. Barrigel in the office side of service got an uplift of approximately 40%, in the ASC, you got a 9% uplift as well as 9% in the hospital. With regards to UroLift, in the office, it's approximately a 10% uplift. And it's 9% to 10% actually in all sites of service for UroLift across the board. Now what that means from the office, Rich, just to give you a little bit of detail is, that it will almost net of any rebates that we would have put in place. If you just take the base reimbursement change, it would more than double the doctor's fee, if you want to call it that, net of the cost of the product in the office side of service. So we see it as a positive development. It's very encouraging. And we also would like it to become the -- not be a proposed rule, but be an actual rule, and we'll wait to see that. And I think to the credit of CMS, this is really a strong focus on moving procedures from a more expensive location to a less expensive location as in the doctor's office and we would strongly encourage them to continue that focus.
Richard Samuel Newitter: And then just one more. Intra-aortic balloon pumps, it looks like there was -- that was the drive of most of the Interventional outperformance. Can you maybe update us there on your thoughts on the kind of the jump-all opportunity in the wake of a competitor issue and kind of any updated views of what that could be even looking out over the next 12 months?
Liam J. Kelly: Yes, Rich. Actually, the beat and Interventional from our internal plan was not intra-aortic balloon pumps. The beat actually came from OnControl and complex catheters. So we were very encouraged by the overall performance of that business. Now did balloons perform well? Yes, they performed well and very much in line with our expectation. And in particular, the focus here is in North America and just like we had in Q1, we had very strong double-digit growth in balloon pumps in Q2. The outlook, we expect -- as I said earlier, we continue to expect the Interventional base business, excluding the BIOTRONIK Vascular Interventions business to grow high single, low double digits for the year. Obviously, you come up on specifically to balloon pumps, you come up on a tougher comp in Q4. So I would expect the growth from balloon pumps themselves to moderate when we get into Q4 because that was the beginning of the issue with the competitor. But all in all, we couldn't be more pleased with the performance of our Interventional business and it couldn't be timed better because now we have the addition of BIOTRONIK VI business into a business that's performing exceptionally well, and we're going through a separation at the same time. So all the stars seem to be aligning for that process.
Operator: Our next question comes from Matthew O'Brien with Piper Sandler.
Samantha Munoz: This is Samantha on for Matt this morning. I guess I'm wondering if you can provide any more details on the, I guess, progress for the separation or sale, if you were 50-50 sale or spin at the time of the announcement, what are you leaning one way or the other now?
Liam J. Kelly: So we didn't actually give any leaning at the time of the announcement. Actually, when we announced, we only announced a spin and as we went through the process, we got significant inbound interest. And as I said a little bit earlier, we are encouraged by the amount of inbound interest that we have received. I can tell the investment community, our focus remains on unlocking shareholder value. I can also tell you that we have been working incredibly hard. We are not sitting on our hands. And I guess the most significant update we gave on the call was we have had many preliminary management meetings with interested parties. And we've done -- as I said a little bit earlier, we've done a lot of work in regarding the financial outlook of both businesses, identifying some of the key internal leadership that will lead the management presentations, many NDAs signed, which should accelerate the due diligence because that in itself can only take two weeks to get that done. So front loading these management meetings was actually strategically a good move because it gets us moving in the right direction. We will do whatever unlocks the most shareholder value. That is our North Star and our guiding principle. And whether it's a sale or a spin, we have very complex models working with independent third parties to help us work through this. We know what our tax basis is. We have a really good understanding as to what the spin would generate to shareholders, so now it's just a question of going through the process of the parallel path and get to an outcome that would be in the best interest of our shareholders.
Samantha Munoz: Perfect. And then if I could sneak in one more on the proposed rule, specifically for -- from CMS and Urology. I think you've said that your elected at 9% to 10% in the office. I know that there was expected that your lot would get back to growth next year with these reimbursement changes? I just want to confirm that that's still the thinking.
Liam J. Kelly: Well, Samantha, getting a 10% proposed rule uplift is definitely going to help that hypothesis as we head into 2026. As I said a little bit earlier and where we've had a lot of pressure as everybody knows in the office side of service, that 10% lift would result in a nice uptick from the -- uptick for the doctor. We will work through this, and we will work with our customer base diligently to position for improvements into 2026. But Samantha, you're absolutely right. This is incredibly encouraging. It's a proposed rule. I'm hopeful that it will become the rule in the beginning of the new year. And if so, it will definitely be more -- it will definitely be a help and not a hindrance to UroLift in all sites of service.
Operator: [Operator Instructions] Our next question comes from Michael Polark with Wolfe Research.
Michael K. Polark: I'll follow up on that thread, but on Barrigel, Liam, the office or the proposed office increase sounded significant. What is the site of service mix for Barrigel today and with a different economic incentive, what do you think it could be?
Liam J. Kelly: We don't break down the site of service, Mike, for Barrigel, but I can tell you that it is spread across all of those three sites of service. And I think that the uplift in all sites of service, I think, is very encouraging. I think that the office uplift may move some product to that site over time. That in itself is encouraging for us because we have a very strong call point into that site of service. And I do think that it is a recognition, I think, by CMS, how important spacing is when men are going through radiation therapy. And it's -- I think it's a reflection of the benefits of spacing in that regard.
Michael K. Polark: Helpful. If I can follow-up maybe for John. John, I think you mentioned in the tariff mitigation strategy section, you would look to implement increased customer pricing as contracts come up for renewal to attempt to offset some of the tariff driven pressure. I guess any early feel for how that may go? I mean I know the industry broadly will probably consider a strategy like this. Hospitals seemingly have been amenable to positive price adjustments over the last couple of years on the heels of the COVID era inflation wave. I'm just curious if you I think it will be similar in response to tariffs or if you're sensing any early pushback on that front. Thank you for any comments on that one.
John R. Deren: Yes. I mean, certainly, kind of we're in the early stages. We don't expect much impact in 2025. And we'll be able to guide a little further as we get to our 2026 guidance as to what we think the year looks like. We have a view of where we think we could increase price as appropriate across the -- across not just the United States but elsewhere and there is some timing that will cause it to take place a little slower than we would have liked. But I think in 2026 will be really that larger opportunity. I wouldn't expect significant pushback in what we expect to propose.
Operator: Our next question comes from Mike Matson with Needham.
Michael Stephen Matson: So just now that you've closed the BIOTRONIK deal, I was wondering if you could provide some insight into the sales force integration there? How much overlap is there with the existing Interventional sales force? How long do you expect the integration effort to take? And what's the risk of disruption there?
Liam J. Kelly: Yes. Absolutely, Mike. Thanks for the question. So if you look at the breakdown of the BIOTRONIK VI revenue, around 50% of it is in the EMEA, 25% in the Americas and 25% in APAC. That in itself represents a significant opportunity to drive accelerated revenue growth by leveraging those channels. If you look at our business, it's much stronger in the Americas, good business in Europe and weaker in Asia Pacific. So it gives us an opportunity, as I said a little bit earlier, to help in gaining access to the cath lab for the BIOTRONIK products in the Americas. It also helps with the strength of the BIOTRONIK organization in EMEA to merge that and the product portfolio. And we will end up with a larger sales force across the board selling all of our products into these markets, and we do see an opportunity for revenue synergies being driven by the combination of these two businesses together.
Michael Stephen Matson: Okay. Got it. And then just one on Titan. So what are you seeing more recently with bariatric surgery? Is it still -- are volumes still declining there? More specifically, what are you seeing with Titan? I mean is it -- I know it's probably doing better than overall bariatric volumes, just given that it's kind of a market penetration story, but...
Liam J. Kelly: Yes. Mike, we still expect to grow double digits this year as we continue to take share. But we are seeing declines in bariatric surgery in the marketplace. It's clearly the impact of GLP-1s is having an impact there. But that is only impacting the impact of our product on the margins as we continue to penetrate the market. I think that the clinical evidence that we've been generating is really helpful, where we're able to show a reduction incurred. We're also able to show a reduction in hospital stay and equal, if not better, clinical outcomes following the procedure. It's still the only single-line staple product in the market, which gets symmetry of outcomes when you're doing gastric sleeves and bariatric surgery. So still remain encouraged by what we're seeing with Titan. But you're correct, there is pressure in that market because of the rollout of GLP-1s.
Operator: That is all the time we have for questions. I will now turn the call to Lawrence Keusch for closing remarks.
Lawrence Soren Keusch: Thank you, Sarah, and thank you to everyone that joined us on the call today. This concludes the Teleflex Inc. Second Quarter 2025 Earnings Conference Call.
Operator: Thank you. You may now disconnect your lines.